Operator: Good morning. My name is Ian, and I will be your conference operator today. At this time, I would like to welcome everyone to the América Móvil Third Quarter 2020 Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Now, I will turn the call over to Ms. Daniela Lecuona, Head of Investor Relations. Please go ahead, Ms. Lecuona.
Daniela Lecuona: Thank you. Good morning, everyone. Thank you for joining us today to discuss our third quarter results. We have today on the line Mr. Daniel Hajj, CEO; Mr. Carlos García Moreno, CFO; and Mr. Oscar Von Hauske, COO.
Daniel Hajj: Thank you, Daniela. Welcome to the third quarter results. Carlos is going to make a summary of the report.
Carlos García Moreno: Thank you, Daniel. Good morning everyone. Well, following the massive monetary and fiscal stimulus introduced throughout the world since the advent of the pandemic, the third quarter saw a rebound in economic activity in most countries in our region of operation and legal [ph] volatilities were both present in the prior two quarters. With the exception of the Brazilian real, which continued to deteriorate to the dollar, the main currency in Latin America did not see much change over the period. As confinement measures began to be lifted towards the end of the second quarter, an improving trend became apparent on commercial activity. We are added 3.2 million wireless subscribers; 1.2 million of them postpaid, and 1.4 million prepaid. Brazil lead the way in terms of positive growth after adding 1.8 million subscribers, followed by Austria with 241,000, and Colombia which recorded for 200,000. In the second quarter, we had lost 500,000 users. For the prepaid gain, Mexico gained the most with 1.2 million, with Colombia and Ecuador contributing approximately 300,000 each, Peru 237,000 and Dominican at 129,000. We recovered several of the prepaid subscribers that were disconnected in second quarter, as mobility was restricted and making recharge difficult. In the fixed-line segment, we gained 446,000 new broadband clients with every operation in LATAM forcing an increase in accesses. Only Austria and Croatia among all our operations with central disconnections. Colombia and Mexico lead the way with over 100,000 executes each. In Mexico's case, it doubled both of the prior quarters. Altogether, mobile postpaid and fixed broadband remain our main areas of access with the former increasing 5.7% year-on-year, and the latter 5.2%. Our prepaid sub base is still down 3.2% from a year before, while Fixed Voice and PayTV accesses are falling at 0.25% [ph] each. Our third quarter revenues rose 4.7% in Mexican peso terms from a year before to reach MXN260 billion. Our service revenues expanded 5.4%. At constant exchange rates, service revenues were up 1.5%, roughly part of price as in the preceding quarter. On the back of continued strong performance of fixed broadband revenues and the recovery of mobile prepaid revenues, those most affected in the prior quarter, in the midst of the lockdown measures implemented throughout Latin America. Mobile service revenues accelerated to 3.5% from 2.3% in the second quarter while fixed-line service revenues maintained at 1.4% state of decline. Across our operations, both MOUs rose 11% while mobile data per user was up 41%, all of which resulted in a 5% increase in mobile ARPUs at constant exchange rates. Mobile service revenues were barred by prepaid revenues, it's growth from plus -- rose to 2.5% from minus 2% in the prior quarter. Our posted revenue decelerated complex to just under the 5% year-on-year, equipment revenues bounced back sharply. I will move on to a more forceful commercial activity. With continued decline in the fixed-line revenue took place at the gains observed in fixed broadband revenues from a pace of low 7.3% to one-off close [ph] 9.1% were offset by new revenue losses in fixed-line voice and PayTV revenues. It is our [indiscernible] in the third quarter from the year-end recorded to MXN6.5 billion. Our EBITDA margin remained at 33.2%. At constant exchange rates EBITDA increased 7.2% more than twice as fast as it had in the preceding quarters with Puerto Rico, Mexico and Dominican posting important advances. Mexico has improved from minus 10% in the second quarter close to 1.3% whereas Dominicans increased from minus 5.5% to plus 5.8% and 11 percentage points swing in both cases, and it's important just to note that both countries have a high share of prepaid clients. Our EBITDA margin 33.2%, was 1.6 percentage points higher than in the year earlier quarter. Our operating profit shot up 18% to MXN45 billion and was the driver of 45% inclusion of our net income, which totaled MXN19 billion. Our operating cash flow totaled MXN164 billion, and allowed us to cover our capital expenditures, which amounted to MXN91 billion. And to reduce financial and label obligations in the amount of MXN52 billion, including a MXN47 billion reduction in our net debt. Our capital expenditures in the period were directed to securing adequate capacity in our networks and maintaining good quality of service. At the end of September our net debt to EBITDA stood up 1.38 times on the prior year '17 [ph], and likely less than at the end of June. All throughout the year and in spite of movements in foreign exchange rates, we have kept our leverage ratio at or below 1.93 times on the -- all over the year. Looking at Mexico, prepaid revenues bounced back to plus 1.1% from a minus 4% decline in the second quarter with fixed broadband revenues accelerating to 6% from 2%. On the back on the above EBITDA recovered sharply from 10% plunge in the second quarter to plus 1.3%. As for Brazil, postpaid revenues continue to excel, posting a 9% increase from the year before with prepaid revenues lies on 5%, we think they capture on prior to the pandemic. On the fixed-line platform, broadband revenues continued to perform well, expanding 6.8% and maintaining a stable trend. Already clearing in projected revenues accelerated to minus 13.6%. Colombia, was the only country where our service revenues expanded on both, the mobile and the fixed-line platform in the third quarter; almost at the same period in H1. Both prepaid and postpaid revenues expanded at rates similar to growth in the first quarter, we have fixed broadband revenues remained at a 15% growth base, and PayTV revenues continue to accelerate to 10%. EBITDA increased 3.4% in the quarter on the strength of the revenue increases and they reduced need to provide for past due collections. Regarding Austria, both fixed and mobile revenue declined slightly, later [indiscernible] down by reduced growth in revenues to the concrete write-off on account of the pandemic. In spite of the above, the company's adjusted EBITDA before restructuring shot up 4.7% on reduced interconnection and roaming charges, as well as savings from several large fund. Well with this, I would like to conclude my talk. I would like to turn it back to Daniel Hajj. Thank you.
Daniel Hajj: Thank you, Carlos. And we can start the Q&A.
Operator: [Operator Instructions] Your first question comes from line of Rodrigo Villanueva of Bank of America. Your line is open.
Rodrigo Villanueva: Hi, thank you. Good morning. Can you hear me well?
Daniel Hajj: Yes.
Rodrigo Villanueva: Perfect, thank you. So, my first question is, if there is any update that you can share with us regarding the potential alternatives to create value from your towers? Anything related to timing, amount of towers or type of transaction would be very helpful. Thank you.
Daniel Hajj: Hi, Rodrigo. Well, what we have been saying on the tower transaction that we have around 60,000 towers in América Móvil, and we're working on the regulatory-- on the legal, to see what is the best thing to do. We have like 15 countries, so in every country it's different. So we're working on that, and we're analyzing what's the best way to give value to the tower. So we have nothing concrete to say right now, but we're working hard to have that as soon as possible.
Rodrigo Villanueva: Understood, Daniel. Thank you very much. Secondly, I mean, the Mexican government appears to be willing to raise the price for spectrum, particularly in frequencies expected to be used for budget purposes. So I was wondering if you could share with us how relevant this is for your next? Is there's anything that you can do to prevent this from happening?
Daniel Hajj: Well, we have been following that discussion in the Congress, in the Senate, we are not agreeing on that. I think they shouldn't raise any money on the spectrum, too. It's very expensive right now. And the only thing that they are going do is to delay 5G, they are going to do that or increase prices in the other side. So Mexico at this time is at the highest levels of spectrum, we're paying a lot of money and we are not agreeing on that. We're following the discussions, we don't know what is going to end on. What they are saying is that they want to increase the 800 megahertz frequencies, they have been in discussion, so we don't know exactly what is going to end on, but we are really -- we don't think that's a good idea.
Rodrigo Villanueva: Understood. And thank you very much.
Daniel Hajj: Thank you.
Operator: Your next question comes from Diego Aragao of Goldman Sachs. Your line is open.
Diego Aragao: Good morning, everybody. Thanks for taking my question. I have just two short questions about Brazil. The first, if you can please share your expectations about M&A in the country. I mean, kind of like an agreement with Tim and Beadle [ph], so if you can just provide like an overview about the next steps and your expectations in the mobile space. And secondly, if you can also share your expectations regarding 5G spectrum option that apparently it should occur in the beginning of next year, but if you can share anything on this topic that would be great.
Daniel Hajj: First of all, I think we have a very good quarter in Brazil, it's still growing very good on postpaid subscribers and also in prepaid, so the revenue in our wireless operations are doing very good. In broadband, we're also doing excellent in Brazil. On OE [ph], I think we feel that the option, the final option will be before end of the year, we don't know exactly the dates, but we feel that's going to be before the end of the year. And on the spectrum for 5G, well, I'm hearing rumors that they said that it's going to be in the first quarter of next year, as you're saying. Other one says that in the middle of next year, so we don't know exactly when we're going to have the option. But right now in Brazil, we have a very small amount of our network within 5G, so we are already launched 5G in a very small town park in Brazil. So we are moving on that direction. And I think next year, we're going to see that we're going to have 5G there. In the other side, with the Nextel purchase, we already integrated the company. We did a very good integration. And we have been doing very well on wireless gaming, postpaid market share every quarter. So, that's more or less what we have been doing in Brazil. In the other side, we have been cutting cost all around Latin America, also in Brazil, we are trying to be a more digital company-- more digitally saving a lot of costs over there. So, we're working on that direction, and I'm putting money and a lot of work on that.
Diego Aragao: Thank you. That's very helpful and just to follow up on the postpaid in Brazil, because it was indeed quite strong. So what we're curious to understand, where are those customers coming from? I mean, do you feel this trend of prepaid shifting to postpaid, or do you believe that you are gaining share from competitors? Thank you.
Daniel Hajj: I think there's a lot of our prepaid moving to postpaid. Of course, that's something, prepaid from other companies moving to postpaid, and also postpaid from other companies moving. We have a very good network. And we have been showing that for the last year, and also, that's been very good.
Diego Aragao: Alright, thank you.
Daniel Hajj: And also, you can see in number portability, we're gaining more than any other company. So that's where we're getting all these postpaid subscribers.
Diego Aragao: Okay, thank you.
Operator: Your next question comes from line of Arturo Langa, Itaú BBA. Your line is open.
Arturo Langa: Hi, good morning. Thank you for taking my question. I'd just like to get your thoughts on your intention to reduce that? And potentially the towers in Southern America water but if the intention is still to reach 1.5 times EBITDA? And if so, how can you think about cash distribution to shareholders one, at an extrinsic level? Is inflation going to increase the tuition to shareholders? And if so, what level do you have in mind? And then what happens with negative share buyback? That would be my first question. And then the second question is related to Colombia, how do you see the arrival of ONE [ph] in the country? And specifically, would you be interested in offering services to one like you did for them in China?
Daniel Hajj: On the first question. I mean, I think, with the sale of the platform to Verizon, we've done the closures, that should be -- that alone should bring those down over -- to bring those down to 1.5x net debt to EBITDA. So whatever is obtained from default of without the standard disposal of some kind. But it would be something that would gather the views. I would love it. I'd say that, in addition to this, we have a stronger cash flow and we're expecting this cash flow to remain well till the next year to coming couple of years. So, I think from a labor standpoint, we feel that we are in good shape. This is something that the rating agencies, you know, that we're very much in touch with, have ratified to order, we're in very, very good shape financially. And we think it's important, particularly in times of so much economic uncertainty we are living through today, to navigate with a lighter load of debt that would normally be the case. So I think that it's important, again, given the uncertainty, there is to be somewhat more conservative on the financial structure of the company. And can you repeat the second question, please?
Arturo Langa: Can you share your thoughts on the arrival of one in Colombia. And they have a big obligations in terms of network rollout, and it's in discussion right now is both would be actually be a roaming agreements, which you might be willing to provide, are you guys did after roaming agreements to one in Chile. So, I was just wondering what you have thoughts on the arrival of 1 into Colombia are and how you manage that?
Daniel Hajj: Well, I think what we now one the he as you said, they are in Chile and they are aggressive. So we have been preparing the company for maybe all these years. So we're putting more capacity and we're working to be prepared when one starts. And that's something -- there's nothing else I can say that we like to compete, and we're going to compete in Colombia, and also is Tigo and Movistar over there. So we haven't had any roaming agreement until now with one if that's your question. We haven't had anything there. They haven't -- do anything with us. We're working, well, you know that we gain the spectrum in Colombia, we're working to all the consumer members to all the investments that we need to do and to put the capacity and the net working the small towns that they required, so we are doing very well in Colombia, we are growing in postpaid Growing in prepaid growing in TV growing in broadband. So we are really doing very well there. So we have from very platform and Oscar can talk a little bit more on what we have been doing in Colombia.
Oscar Von Hauske: Thank you, Daniel. Yes. As you mentioned, we are a fully integrated company in Colombia. We've been doing quite well on mobile, but more in the convergence. So we deliver on the set of products. So fixed broadband, fixed-line and mobile, PayTV in different flavors. And as well, we started three years ago, focused on enterprise and all the cloud services that we deliver there. So we had a more telco-integrated solution on connectivity and we being really successful on that enterprise. So it's going to be more competition but we fell that we are in a very good position.
Arturo Langa: I appreciate your answer. Thank you.
Daniel Hajj: Thank you.
Operator: Your next question comes from the line of Walter Piecyk of LightShed. Your line is open.
Walter Piecyk: Thanks, Daniel, the trend for ARPU has been pretty positive since 2017. I understand that some of that is postpaid/prepaid mix. But clearly, LTE usage has certainly had an impact. Obviously, COVID gave you a little bit of a headwind in the last couple of quarters. But when you're looking at 2021, assuming we're, you know, having some type of COVID recovery, at least health wise and maybe not economically, do you think that across your markets, especially the big ones that you can get back to ARPU growth? And then two kind of additional questions as it relates to that, which is can you give us an update on what is the mix of LTE traffic today and kind of a capital -- a CapEx outlook? CapEx gets down a lot this year; is there going to be kind of a return to CapEx investment and based on some of this LTE growth? Thank you.
Daniel Hajj: Yes, well, what we have been seeing in this. Two things are very important with the pandemic. The pandemic shows us that our networks are really strong. So we handle all the traffic in all the countries that we need. So people moved from offices to houses, and then a lot more in houses, in the broadband, in wireless, in Wi-Fi. They see a lot more TV. So all these trends look very good in our network. So we have a very strong network. And that's because, the last three years, we have been investing a lot on that. We will focus on that; so that's very important and we're very happy. We have been doing a lot of testing all around Latin America, and we have been the best network in most, or maybe all of the country. We have been doing very good on that. So that's very, very important. So all the things that what happened during the pandemic is this, it accelerated a lot, the digital for payments for shopping for studying for everything. So it looks like people are going to use more and more and more on that. So I don't know what is going to happen on 2021. But what I can tell you is that the people are using a lot more telecom. Telecom is becoming more and more important every day. And with this lockdown, accelerate a lot the digital in the digital sites we're doing that on the CapEx, I'm going to talk a little bit about the CapEx this year. Well, I think the CapEx, it's gone end reducing may be $0.34, $0.25 to $0.34 that we're going to reduce the CapEx from our original CapEx this year because we also -- because execution, because in the lockdown was very difficult to execute also because we take out from the projects that we don't need and maybe we're going to delay that and we're working right now to see what's going to be the CapEx for next year. So still, I don't know what will be the CapEx, but the CapEx of this year is going to be around $6 billion instead of the $8.5 billion that we have there. So large more or less what we have five execution because of the lockdown other ones because we some projects that we don't think or we don't meet at this moment.
Walter Piecyk: That's a pretty big decline. I don't see like usage decline that much. So, I mean, at a minimum, shouldn't you think that CapEx, I know, you don't want to give a CapEx guidance for 2021 now, but if you're down that much this year, should it at least be flattening 2021? Is that -- would it be reasonable to assume that?
Daniel Hajj: Compared with this year or compared with our original CapEx?
Walter Piecyk: When I look at 2021, if it's $6 billion this year, I would assume that at a minimum that's going to be flat if not up in 2021 from that level.
Daniel Hajj: From that level, it's going to be higher, of course, it's going to be higher, but the -- we're working. I don't want to advance anything but, it's going to be higher than this year.
Walter Piecyk: But maybe not at the $8 billion from 2018 and 2019. I got it, okay. Okay, thank you.
Daniel Hajj: Other thing that has been really interesting is that, while there's a lot of suppliers that are helping and reducing prices and moving with new technologies, and there's a lot that we have been doing there, so also is helping us on that. So what I can tell you right now, very important that that will be $6 billion. We haven't lost anything. We have a lot of capacity, very good quality. And in the commercial side in the level of CapEx, that is, it's 100% done what we need. So we're not stopping anything on that. So that's -- that's important. So we're not going to stop growth, we're not going to stop capacity, we're not going to stop quality, we're not going to stop very important, all the digital things that we're doing in the company. So that's very important to that.
Walter Piecyk: Just one quick follow-up Daniel, I apologize for that. It's a third question, but it's related is, when you say execution, does that mean you're using like different radio vendors like Fujitsu or Airspan or whoever rather than the traditional guys or is it just that pricing is coming down from the Nokia Ericsson and Huawei of the world
Daniel Hajj: It's new vendors plus -- maybe not in radio, but in other things, they are new people entering in some of the -- of the new technology. So it doesn't -- radio is a very small part of our CapEx, so it's a lot on backbone, a lot of photonics, a lot on digital fiber. There's a lot of things in the CapEx, it's not on the radio, core visualization, there's a lot of things related to that.
Walter Piecyk: Thank you very much.
Daniel Hajj: Thank you.
Operator: Your next question comes from the line of Marcello Santos of JPMorgan, your line is open.
Marcelo Santos: Hi, good morning. Thanks for taking the question. There are two actually. So the first is about the pickup in broadband ads in Mexico, just wondering if you could talk a bit about the sources you mentioned, the agreements with OTTs, but also if there's some demand from COVID coming, and what do you think about the sustainability of this higher growth in broadband? And the second question is about the Brazilian reconnecting in the fixed-line. What's your comment? Is there more on PayTV or is this limited to DTH? It is also -- especially cable, what's the outlook here? How much more of decline could we have on the DTH? Thank you.
Daniel Hajj: So your first question around Mexico is -- what we've been doing is operating on the speed of our customers. We have been keeping their loyalty from our customers. Another thing is that we've been migrating from copper to fiber as soon as we can within the market. And the third one is we launched a new set of packages that include several add-ons with the program, and I think, because we -- and there is a pickup, as you mentioned around the COVID. All the people working from home means more speed, there is more people connected to the network. That's not the thing that happens, not only medical, which isn't in all the countries. On the Brazilian side, as you know, PayTV integration, the decrease in revenues is what we see as -- when you look at the total market, the total market is decreasing in Brazil. So there is a downgrade in some in some of the costs given the economic condition in Brazil. What we are doing is to develop a new set of approach that is more like an entertainment hub, moving down the PayTV, regular PayTV, we believe that included add-ons and more functionality to the PayTV, we will good if there are lined up the revenues in the near future.
Marcelo Santos: Thank you. Thank you.
Daniel Hajj: Thank you very much.
Operator: Your next question comes from the line of Cesar Medina of Morgan Stanley. Your line is open.
Cesar Medina: Hi, thanks for taking my call. I have two questions related to the deleveraging process. I mean, one is older than the towers that you're working on. How should we think about other, you know, stage tracking for instance, there's been news regarding KPN, and once you reach to that 1.5 level, what's next? I mean, should we expect this division to shareholders, buy back dividend, more on that front? I appreciate your thoughts on that. Thank you.
Daniel Hajj: Well, first and your question, I'll take the end. So we know this Swedish private equity bond that is the rumor or we don't know nothing, and we know that from the media. So we don't know what is going to happen there. Of course, there's going to be consolidation. Of course, there's going to be consolidation in Europe, but we don't know nothing about that. And on the financials, as it's reflective of marketable securities, they are indeed marketable securities and that will not change. So, even you know, potential divestment of the -- we will get the stake, it wouldn't have any impact on the -- on the levers. I was pointing out I think we have on the one hand the cash flow that is providing us ample room to reduce debt. And we have done so far this year mentioned nearly MXN50 billion cash, reduction of net debt. And we take [indiscernible], expect to receive $6.3 billion. So those [indiscernible] long way to one and a half times or even the below the one and half times of EBITDA [ph]. So I think it's a debate of great uncertainty in the world. We are not familiar with the latest IMF forecasts to be rolled out. Basically, because several countries not coming back from where they were in 2019 until two or three or four years from now. Okay. So I think, you know, this is still, in some ways, the early parts of this COVID related crisis. We think it's best to remain conservative and to sacrifice to navigate, like a load of debt. Things are safe. So that's what I would say to you.
Cesar Medina: Thank you.
Operator: Your next question comes from the line of Carlos Sequeira of BTG Pactual. Your line is open.
Carlos Sequeira: Thank you. Good morning, everybody. So my question is, the AMX has any plan to relay its coaxial cable network in Brazil with fiber and fiber to the home technology now, and we have a big cable network operation there and I was just wondering if you have any plans to overlay it at some point? Thank you.
Operator: Ladies and gentlemen, we are experiencing technical difficulties. The conference will resume in one moment. [Technical Difficulty] And excuse me, we are back on the call. Feel free to be good again.
Daniel Hajj: Sorry, we're back. Thank you. We pushed the wrong button sorry.
Carlos Sequeira: Do you want me to make the question again?
Daniel Hajj: Sorry.
Carlos Sequeira: Okay. So my question is, if AMX has any plans to overlay its coaxial cable network in Brazil with fiber or fiber to the home technologies, if not now, at some point in time, what is -- how you see the cable network in Brazil, the possibility of a range of hybrid [indiscernible]. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Chelsea Colón of Aegon. Your line is open.
Chelsea Colón: Hi, and thank you for taking my questions. I was just wondering if you could provide a little bit more color around the performance in Chile. I'm just wondering how much of this performance is -- do you think is due to competition in the market versus the effects of the pandemic? And if you could also just remind us of what technology you have on the mobile and fixed side in Chile?
Daniel Hajj: You're talking about Chile?
Chelsea Colón: Yes.
Daniel Hajj: In Chile, we have the same technology in mobile that we have all around Latin America with 2G, 3G -- not 2G, now I think it's almost 3G and 4G and 4.5G. So that's the technology that we've got fixed. We also have a fiber to the home. So what we need in Chile -- Chile is doing a little bit more -- it's difficult on the country as the lockdowns have been on and off and we need to improve there. So I think we are putting and to get better. So we are working on that. And, I hope that we're going to see better results in the next year. It's not something about technology, I think we are well prepared on the technology, very good, also more widely in corporate also, data centers, and we need to execute a little bit. On the market, it's also very difficult there, prices have been going down. But there's nothing else to say -- we need to get better.
Chelsea Colón: And what is your exposure to the SME segment in Chile?
Daniel Hajj: What is your what -- sorry.
Chelsea Colón: Your approach to SMEs in Chile?
Daniel Hajj: I think we're in a good position. Oscar can talk a little bit about what we're doing on the corporate side in the small and medium and enterprise.
Oscar Von Hauske: Sure. I mean it's more [ph]on-site excellent. So in the market and we will in this [indiscernible]. And the first are looking for more digitalization more long services, more applications there will be not to help them online to harvest floor in the digital world. So, what we've been doing on the loading on these both in terms of the industry, the small business and on enterprise. If you look at the change of -- we look for the connectivity end of the change, you have connectivity on the security, we have data, you got the business analytics recovery, in fact, we think there and then got there [ph]. So what we are offering of both but got fully integrated you in the market not only keep us on going to, we want to bring the customers to improve the product in the increased revenues, it's more being brilliant proposal not only point of will be working with certain portfolio the last within the few years ago. So I think need to be very well a bit in the more as an aggregator then only connectivity.
Daniel Hajj: Thank you.
Operator: Your next question comes from the line of Maria Azevedo of Santander. Your line is open.
Maria Azevedo: Hi everyone, thank you for the call. Congratulations for the strong numbers. I have two questions, the first one to follow up on the question on CapEx, do you think that network sharing open rand and those initiatives can also help the optimization of CapEx and how much do you expect to spend with 5G spectrum in 2020 and 2021? And then, the second question is about a trend about monetizing subscriber base in some of the companies are talking about digital wallets, a new launch some initiatives of using prepaid credit as digital wallets, how big is that opportunity in LATAM. Thank you very much.
Daniel Hajj: And I think in terms of 5G. I don't have a number on how much we're going to impact on 5G next year, but we're going to -- we're going to have 5G in some of the time to next year is going to depend a lot on the spectrum, let's say you practice which is on the long dispatch room when those are the countries are going down the spectrum other ones, we already have the spectrum. So we're working in 5G and we don't have 5G launch right in some Countries. The next few years. So we have not network sharing, I think network sharing sales for these sales in some places. So I'm not a fan of network sharing, let's say [indiscernible] example. Okay, because indeed we are always impacting more new technology, a lot of capacity, and then you have to grow the capacity and put more and more because of the usage, both network sharing in rural areas where the growth is not so big, or in play third yield on you need more product actually done a lot of capacity, gigs a very good idea that's the way we deal and what we think it's important so, of course, network sharing, is a good idea. But depending were I mean with whom we get to put in. Okay, so that's what we feel on the wallet of certain can talk a little bit about we have on digital wallet. Yes, we will be redeveloped our wallet around digital wallet, it's called got opened and what is the functionality that is within the current stuff that you could cash in and your cash out in pre-clinical software from credit cash from deposit. As you know in Latin American countries as the use of cash, we are getting to that the digitalize that interactions should be great. And you said is an application that going to quickly review the use of cash, what are you know we could be -- it could be thereby sort of view like telephone, recharges prepaid mobile phone and we are on the -- of this right now. So we are developing more personality, but we [ph] are very good growth. It's a problem.
Maria Azevedo: Okay, thank you very much.
Operator: There are no further questions at this time. I hand the call over to Mr. Daniel Hajj.
Daniel Hajj: I just thank everyone to be for being in the call. Thank you very much. Bye-bye.
Operator: This concludes today's conference call. You may now disconnect.